Executives: Jon Kathol - Vice President of Investor Relations and Assistant Secretary James V. Lochner - Chief Operating Officer Dennis Leatherby - Chief Financial Officer and Executive Vice President Donnie Smith - Chief Executive Officer and President
Analysts: Kenneth B. Zaslow - BMO Capital Markets U.S. Diane Geissler - Credit Agricole Securities (USA) Inc., Research Division Jeffrey D. Farmer - Jefferies & Company, Inc., Research Division Timothy S. Ramey - D.A. Davidson & Co., Research Division Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division Lindsay Mann - Goldman Sachs Group Inc., Research Division Christina McGlone - Deutsche Bank AG, Research Division Christine McCracken - Cleveland Research Company Farha Aslam - Stephens Inc., Research Division Farooq Hamed - Barclays Capital, Research Division Heather L. Jones - BB&T Capital Markets, Research Division Ryan Oksenhendler - BofA Merrill Lynch, Research Division William Sawyer - Crédit Suisse AG, Research Division Kenneth Goldman - JP Morgan Chase & Co, Research Division
Operator: I'd like to thank participants for holding. [Operator Instructions] I'd also like to inform participants today's call is being recorded. I'd now like to turn the conference over to Jon Kathol. Thank you. You may begin.
Jon Kathol: Good morning, and thank you, for joining us today for Tyson Foods' Conference Call for the Fourth Quarter and 2011 Fiscal Year. I need to remind you that some of the things we'll about today will include forward-looking statements. Those statements are based on our view of the world as we know it now, which could change. I encourage you to look at today's press release for a discussion of the risks that can affect our business. On today's call is Donnie Smith, President and Chief Executive Officer; Jim Lochner, Chief Operating Officer; and Dennis Leatherby, Chief Financial Officer. [Operator Instructions] I'll now turn the call over to Donnie Smith.
Donnie Smith: Thanks, John. Good morning, everyone, and thanks, for joining us today and I'd like to welcome John to his first earnings call as our new Vice President of Investor Relations. Our fourth quarter earnings were $0.26 a share compared to $0.57 last year, on record sales of $8.4 billion. Operating income was down $219 million versus Q4 of FY '10, driven by the $223 million change year-over-year at the Chicken segment. Now, I should quickly add that our Chicken business absorbed $315 million in additional input cost during Q4 versus the same quarter last year, and when the dust settled, the Chicken segment finished the quarter with a loss of $82 million or a negative 2.9% return on sales. The Beef segment was in the middle of its normalized range for the quarter at 3.4% return on sales, Pork was at the top end of its range or 7.9%, and Prepared Foods had a 3.4% return on sales for Q4, which is just under its normalized range. Let's come back to the Chicken segment for a minute. We told you last quarter that we would lose money in Q4, and unfortunately, that was the case. But I'd like to give you some perspective on our performance. July and August were possibly the worst months in the chicken industry has experienced in one of the worst years in industry history. As for us here at Tyson, we dug a hole for ourselves in July. August improved but were still negative. September was better yet, and we were profitable as we started Q1, and we've been positive every week since. So now let's review our overall results for the year. For fiscal '11, our adjusted EPS was $1.89 or $1.97 on a GAAP basis, which is the second-best in company history. We have record sales of $32.3 billion, reflecting increased volumes of 1.7%, price increases of near 12% and operating cash flows of about $1 billion. Even though these results were below last year, I'm very pleased with our results, especially considering the business environment. Demand was flat as unemployment hovered around 9% mark, and of course, your all familiar with the input headwinds we faced all year. Our multi-protein, multi-channel, multinational business model puts us in a unique position. While chicken was overcoming obstacles and Prepared Foods was struggling with volatile inputs, Beef and Pork performed very well and even improved the their position against the USDA industry index. As we think about 2012 and how the retail and food service environment will shape up, we know that consumer confidence index improved slightly in September but it declined again in October. So consumer confidence has now dropped to the levels we saw over the '08, '09 recession, over renewed concerns about business conditions, jobs, and income. We continue to address consumer concerns and their focus on price and value through our product innovation. Cook it from scratch and healthy food options, our own shoppers' list of considerations which I see as a long-term positive for our retail business given our broad portfolio of products that meet those needs. We work very closely with our retail customers to adjust to changing consumer buying habits, to maximize category sales and retailer profits. Our Tyson national brand is backed by strong regional brands and our portfolio also includes private label offerings with several strategic customers. In food service, consumers are looking for value at every price point, from the drive through to full-service restaurants. Tyson is helping operators deliver that value with innovative products and solutions that drive traffic while protecting their bottom line. Technomic's food service outlook for 2012 is positive, with the return to real growth. However, it's predicting only 0.3% increase. So the economy won't be helping us grow our business, so we must rely on innovation and consumers -- as consumers redefine food service value in terms of quality, price, and the overall dining experience.  We believe 2012 will bring a renewed focus on chicken features, especially at QSRs, as a strategy to deal with high ground beef prices. There's also considerable emphasis on using dark meat as an ingredient, which is not only a great value play, but makes sense in the big picture of domestic availability of protein. So when we look at global protein supply and demand, despite the economy, demand for protein around the world is growing. With strong exports, domestic availability of protein should decline again in 2012 for the sixth year in a row from its peak of 284 pounds per capita in 2006 to about 255 pounds per capita in 2012. According to the USDA, beef domestic availability will be about 6% lower in '12 compared to '11, chicken is expected to be down over 3%, and while pork should be up less than 1%, and turkey up just over 1%. In total, meat and poultry availability is projected to be down 2.1% in 2012, which should lead to higher protein prices. Dennis will give you some of our financial expectations for fiscal '12, but I want to go ahead and talk about our CapEx plans for the year. We anticipate investing $800 million to $850 million in our business on a variety of projects across our segments. Although we've been reinvesting heavily in the business the past few years, there are still opportunities for improvements that should provide good returns. For example, in our Prepared Foods segment, we're converting a plant in Council Bluffs to pepperoni production in response to consumer demand in that category. Our team in Brazil is doing a great job growing distribution in volume, so we'll add a second shift of production in 2 of our Brazilian plants in 2012. And I'm also happy to announce that we opened our greenfield plant in Jiangsu, China this morning. Although it'll take several quarters before we see a significant positive impact on revenues and returns, we're excited to take this step in executing our plan to become a fully integrated poultry producer in China. We're optimistic about fiscal 2012, and we're off to a good start, with all segments profitable so far in Q1. We think this should be a good year and we expect 2012 EPS to be in excess of $2. So that concludes my opening remarks, I'll now turn it over to Jim for a review of our segment results, followed by Dennis with the financial report.
James V. Lochner: Thanks, Donnie. Good morning, everybody. The Pork segment continued its strong performance by posting a 7.9% return on sales and an operating income of $113 million. This is at the top end of the new normalized range of 6% to 8% we announced on our previous call. For the fiscal year, pork had a 10.3% return on sales and $560 million in operating income. I think it's a common misperception that our pork business is performing such a high-level solely due to strong exports. Although exports have led to increased total revenue, any spread-business model increases or decreases in total revenue ultimately flow back to the producer and are reflected in the livestock cost. We are running a much more profitable Pork business because we focus on our daily efficiencies, costs, our mix revenue, and our revenue indexes compared to publicly reported data. We have outperformed -- we are -- had been outperforming USDA index in pork, and in the fourth quarter, we further improved our competitive position relative to industry numbers. The 2012 outlook for our Pork -- for our Pork segment, is much the same as it was in 2011. Hog supplies should be up slightly from gains in productivity, and exports should remain strong, so domestic availability of pork should not change appreciably. Based on what we know today, we don't expect any significant changes to the fundamentals of our pork business. The Beef segment also performed well for the same reasons described in the Pork segment. Beef had a 3.4% return on sales and $118 million in operating income for the fourth quarter, and 3.5% and $468 million for the year. In recent weeks, there has the beef industry packer margins compression as the cutout has not kept pace with the increasing cattle cost. This happens at various times of the year. Although our margins have compressed the last several weeks, we continue to outperform the reported industry numbers and expect our Beef segment to continue to be profitable in Q1, although at a lower level than Q4. The drop in the Southwest has caused cow calf operators and stockers to push their cattle in the feedlots earlier. More calf backgrounding is occurring in feedlots, which has disrupted feedlot placement patterns. In the past, this has resulted in lighter carcass weights when these cattle are marketed, and potentially could shift normal fed cattle seasonal availability. This may create more volatility as supplies might not match seasonal and demand patterns, but keep in mind, there are presently my cattle on feed than last year. I know some of you are concerned about the availability of cattle in 2012, these cattle have been born already and are available. Also in the past 12 months, there are nearly 180,000 more imported feeder cattle year-over-year. Therefore, we plan to process roughly the same number in 2012 as we did in 2011. When projecting supplies beyond our fiscal 2012, let's look at all the facts. The herd shows no sign of expanding or contracting when evaluating the percentage of heifers in the fed-steer heifer process numbers. In the past 12 months, the percentage has been 37.4%, nearly the same as the past 4 years. Although cow slaughter has been higher in the past 12 months, the percentage of beef in the total cow slaughter has been normal at 60%. The actual beef cow year-over-year slaughter has been 136,000 more than last year or only 0.4% of the beef cowherd. The dairy portion of the cow slaughter has increased 157,000 year-over-year, with a combined total being up 283,000. This data implies the total beef and dairy cowherd is declining at 0.7%, which is only a slight acceleration compared to the last 2 years. Moving onto chicken. We're coming off one of the toughest years for the chicken industry. We had an operating loss of $82 million or a negative 2.9% return on sales for the quarter. For the year, we had a 1.5% return on sales and $164 million in operating income. Our Chicken segment was profitable for the year because we have invested a considerable amount of time and effort along with some capital into improving our yields, our labor efficiencies, and mix while staying focused on product innovation and customer service. For the year, we overcame $750 million in added cost from higher grain and feed ingredients, and other inputs because we refused to accept that we're at the mercy of the poor industry fundamentals. Without these year-over-year added costs, we would have reported an 8.3% return on sales in the Chicken segment, holding other factors equal. Over the past several weeks, we have seen more than a 7.5% reduction in USDA eggs sets and chicks placed. However, optimum growing conditions in September and October meant heavier birds, and the reduction in slaughter pounds was less than the reduction in head. As they moved in to cooler weather, bird weights are declining at close to last year. For fiscal 2012, we have seen estimates of around 4% fewer production pounds than 2011, which should support improved market pricing. Ultimately, prices need to support the increased live cost and historic -- and history certainly implies that will happen. We expect our Chicken segment to be modestly profitable in Q1, and improve throughout fiscal 12. The Prepared Food segment fell well below its -- excuse me, but Prepared Foods segment fell below its normalized operating margin range with a 3.4% return on sales and $28 million in operating income for the fourth quarter. For the year, Prepared Foods had a 3.6% return on sales with $117 million in operating income. We believe operational improvements, and increased pricing, will offset expected increases in raw material cost. Because many of our contracts are formula-based or shorter-term in nature, typically we are able to offset rising inputs through increased pricing. Prepared Foods profitability should pick up in fiscal 2012 as we start to see results from the improvements we made in our lunchmeat business. As always, I want to thank our business units and their teams for their efforts and focus on margin management. The gains in efficiency and cost, along with paying attention to their metrics, are driving results. That concludes my remarks and I'll turn it over to Dennis for the financial report.
Dennis Leatherby: Thank you, Jim, and good morning, everyone. As Donnie mentioned in his remarks, we reported Q4 earnings of $0.26 per share. Our reported full year fiscal 2011 earnings were $1.97 per share, which includes $0.08 per share of adjustments related to the sale of an interest in an equity method investment, and an unusual tax benefit recognized earlier in the year. Excluding these items, fiscal 2011 EPS was $1.89. Return on invested capital for the last 12 months remained solid at 18.5%. Capital expenditures were $174 million for the quarter and $643 million for the year. This amount reflects numerous capital projects that will continue to benefit us in the future with enhanced production and labor efficiencies, improved yields, and sales mix. Our operating cash flow remained strong at $360 million for Q4, and totaled $1 billion for the year despite higher input costs from grains, live cattle, and hogs, and record boxed beef and pork prices which resulted in receivables and inventory being up over $400 million compared to a year ago. Including cash, net debt was just under $1.5 billion, down just over $100 million from a year ago. Total liquidity was $1.6 billion, well above our goal of $1.2 billion and $1.5 billion, even after retiring the remaining $295 million of our 2011 notes at the end of September. Gross debt is now down to $2.2 billion as we have paid off $1.5 billion in the last 2.5 years. Gross debt to EBITDA for the year was 1.2x, in line with our expectations. It is our goal to meet or beat 1.3x on a normal basis to ensure sound credit measures and enhance our ability to raise cost-effective capital when needed. On a net debt to EBITDA basis, this measure was 0.8x. During the fourth quarter, we acquired 5.3 million shares for $90 million under our reactivated share repurchase program. This brings our total repurchases, over the past 2 quarters, to 9.7 million shares for $170 million under this program. We intend to continue repurchasing shares. And the timing and extent to which we make these repurchases will depend upon, among other things, market conditions, liquidity targets, debt obligations, and regulatory requirements. Our effective tax rate for fiscal 2011 was 31.8%. Excluding the unusual tax benefit recognized earlier in the year, our rate would have been 33.7%. So here are some thoughts on the outlook for fiscal 2012. Revenues are expected to be $34 billion. Again, driven largely by raw material price increases, which represents an increase of $2 billion over 2011. We expect net interest expense to be approximately $185 million, down $46 million from fiscal 2011. The effective tax rate should be about 36%. Our average diluted shares outstanding for the quarter -- fourth quarter was $375 million. This amount reflects the dilutive effect of options and convertible bonds which fluctuate depending on our stock price performance. Additionally, given the timing of the 9.7 million shares we repurchased, their benefit is only partially reflected in this past year. We will receive the full benefit in future periods which will positively impact EPS by approximately $0.05 per share on an annualized basis using our current share base. CapEx should be around $800 million to $850 million. This reflects continued spending on improving the efficiency and competitiveness of our domestic and foreign operations, especially in China. We will use excess cash to repurchase notes when available, at attractive rates, as we do not have any significant debt maturities due until fiscal 2014. In closing, 2011 was an exceptional year considering the challenges we faced. Net debt was down $100 million despite $3.7 billion of increased raw material cost. Strong capital spending above depreciation. $170 million of stock repurchases and a $66 million buyout of our partner in China. This just proves our diversified business model works. Following the 2 best years in our company's history, we're excited about the future and look forward to even more success. Tyson Foods is in a strong financial position with solid debt ratios, a strong liquidity position, and a capital structure that will enable us to continue delivering solid results and grow our company. This concludes our prepared remarks and I'll ask the operator to begin Q&A.
Operator: [Operator Instructions] And our first question comes from Farooq Hamed, Barclays Capital.
Farooq Hamed - Barclays Capital, Research Division: I just wanted to follow-up on the comments about the chicken division being profitable as we enter Q1, and growing profitability throughout the year. So I mean, in the past quarter that you just reported, we saw an $82 million loss. I wanted to understand what's the biggest difference we're seeing between this past quarter that was just reported and the current quarter, as to why we're seeing an operating income this quarter. Is it more on pricing side, is it operating improvements? Maybe you can give a breakdown of where the increased profitability is coming from.
Donnie Smith: This is Donnie. Let's start off talking about the last quarter a little bit. As we came into July, you're pretty much at the peak of your live cost, and if you'll remember, the market pricing in first month of that quarter coming off a pretty disappointing Fourth of July, which really, really soft. So our profitability in Q4 dug a pretty deep hole there at the beginning. So, then as you continue moving through the quarter, our live cost kept getting better. Now, some of that was grain related, but a lot of that was internal to some things we were doing inside of our business. Now, one other point to add. Coming off the Fourth of July holiday, as I mentioned pretty disappointed, and we started pretty aggressive cutbacks at that time and so what we're doing at the front end of the quarter is we're taking the cost hit, if you will, for making the adjustments in our production. And then in our business, you need to wait 8 to 12 weeks or so before you get the benefit of that in future periods. So what happens to you is your quarter got front-end loaded because you got the peak of your live cost, you're cutting back. And July, I would add, I'm telling you, that's a pretty ugly month. But we got better than that in August. August was much better than July, but still negative. September was much better yet. Now, one thing you probably noticed, we had a mark-to-market hit in that quarter of about $31 million. So let me go ahead and cover that one for you, too, because it's a big part of the story. When we were talking in August, corn was somewhere around the upper $6 range, maybe $7, meal was somewhere around $350 million. And then, we had a little rally off that. But then, in the last 3 weeks of the quarter, corn fell $1.50 a bushel or so, meal was probably down $60, $65 a ton. And so, at the end of the quarter, we were long about 3 weeks or so worth off flat price coverage into the next quarter. And all of that got marked-to-market. So that $31 million was a pretty good slice of that $82 million that you mentioned. So moving forward, our live cost is in better shape. We have seen some pricing help, not just market related. But as I mentioned, I think last quarter related to our service offering, the value that we're bringing our customers. We're seeing some price. So the real recovery into the positive Q1 has really been a mixture of every part of our business. Our live cost has gotten better, we're seeing the benefit of a lot of the CapEx that we've spent in our business, and our operating efficiencies at the plants, we've seen some logistics help in some new programs we've done in logistics. So it's coming from just about every facet of the business.
Farooq Hamed - Barclays Capital, Research Division: That's pretty helpful. Maybe just as a follow-up then, I noticed that in the quarter you mentioned that -- in the release you mentioned that fiscal 2012 grain costs are expected to be higher than fiscal 2011. So can you comment on how you're going to see those improvements in live cost even though you're going to have higher grain cost?
Donnie Smith: Yes, part of the efficiencies, frankly coming, and feed conversion rates, some of it will come in some improvements we've made in our hatcheries. So it's really in all aspects of the live production. It's not just related to the -- necessarily just to the cost of corn and soybean meal, but to a lot of things that we can control as well.
Operator: Next question from Lindsay Drucker Mann with Goldman Sachs.
Lindsay Mann - Goldman Sachs Group Inc., Research Division: I just had a quick question on pork. Obviously, still looking at numbers at that very high end of your normalized range. But just curious why we saw -- if you could just go a bit deeper into why we saw the sequential deterioration in margin performance even though we're seeing a bit better availability this time of year versus your prior quarter? That's a fair statement?
Donnie Smith: Yes. In any spread business, you can have periods of time when the revenue declines and then the cost of goods or the hog cost don't decline at the same rate, or vice versa. In general, that all, it wasn't a major decline. It was enough, however, to drive a differential compared to the prior quarters. But it was still a very strong performance. We didn't have any major shifts other than what I'd call kind of normal spread business margin compression and expansion. So really nothing significant.
Lindsay Mann - Goldman Sachs Group Inc., Research Division: Okay. Yes, I think, still just trying to get our arms around how fantastic returns have been up to this point. And I know you guys have been pretty conservative, it seemed, about your normalized range for pork margins since you've been putting number so far ahead. And so I'm just curious, maybe if you can give us anecdotes on how the business has evolved relative to last year, and maybe that will help clue us in to how to model margins going forward given we're still seeing very strong exports and the industry still seems to be operating, firing on all cylinders. So any difference where we are today versus where we were last year that might explain some of the margin differential would be helpful.
James V. Lochner: Yes. I mean there's no, again, one single factor. What it is, is you continually lay improve on your daily efficiencies, in your labor efficiencies, in your cost, you continually improve on your yields, you continually improve on your mix of sales, you continually improve on trying to beat the market pricing through a variety of different components. Generally, it doesn't happen on the livestock buy side, although the only thing we can really influence there is how well we work on yields and our draw credits, et cetera. So I know that's difficult for you to figure out on the model, but it's not one thing. It's all of these little things that we continually improve. Our model really, in the businesses, is we do the same thing every day, we just try to continuously improve and you have these small incremental improvements over the course of months. And I know that doesn't sound real profound but that's exactly how we operate all our businesses.
Lindsay Mann - Goldman Sachs Group Inc., Research Division: Okay. And then just maybe if you could, guys, give more detail on how your feed conversion efficiency is improving on the chicken side. What sort of stuff you're doing to improve that.
James V. Lochner: Let's see. All right, I'll try to give you a little insight. So we have made improvements in the production process that have improved not only our feed conversions, but also the livability. Now, some of that is going to be attributable to taking our weights down just a tad. But we also, maybe got a little bit out of line on our feed conversion in Q3 and Q4, during some of the really hot weather. And then we got our out times right. We've done a good job, our live production folks have done a great job improving the upstream processes and feed manufacturing, and in our hatcheries. That's just given us a great opportunity for improvement in the field for all of our growers. So again, it's just incremental improvements. Getting a little better at everything we do, it adds up.
Operator: Okay. Next question, Ken Goldman, JPMorgan.
Kenneth Goldman - JP Morgan Chase & Co, Research Division: Two questions. First, I think, I appreciate the benefits of hedging and other forward activities, but this does mark, I think, the third straight year in which the impact of your commodity risk management has been a headwind on income. This past quarter it hurt by $49 million, that's the most in almost 3 years. So I guess my question is this. Are we reading the data wrong, to look at them and ask if maybe Tyson might not benefit by being a little bit closer to the market? Or is it just something where 3 straight years of kind of losses there or negative impact is just a random event, and maybe it's still worth it going forward so do all that hedging and get ahead of the markets so you can maybe price based on your cost and so forth? I'm just curious of how we should think about that balance.
Donnie Smith: Well for the year, our total -- I'm going to use the term Dennis did, but the total outcome of all of the, I'm going to call it hedging activities, was about $41 million. So when you're buying 4-plus million bushels of corn a week, 40,000 tons of soybean meal a week, and all the other stuff that goes with that, you add that up at $6, $7, well, $7.50, $8 at times on a delivered basis, $41 million, that's landing on an aircraft carrier over a whole year. So I would say that with the extreme volatility -- when corn fell from the upper $7, we were like $7.50 or so. And at the end of the first week of September and then we're -- gosh, it was below $6, somewhere $5.90-ish, somewhere around that on September 30. With as much commodities as we buy, having 3 weeks out front is not an excessive position. So in general, we have a very conservative approach. We stay pretty close to the market, we're pretty close to the market right now. We feel pretty good about that. But when you've got such a vicious swing in commodity prices in the last 3 weeks in the quarter, you got mark that stuff to market and you use a lot, that's a pretty big number.
Kenneth Goldman - JP Morgan Chase & Co, Research Division: And then Jim, you talked about how, from time to time, cattle prices rise more quickly than beef prices, and obviously that's true. USDA data showing some of the weakest industry gross margins, right now in the last decade, and I'm just curious for some more insight there. I do appreciate cattle prices up year-on-year, but they've been up when 20% year-on-year all of 2011. Only recently have margins collapsed, at least in the reported national numbers. So I guess I'm just curious what you're seeing there. I recognize your plants are in areas where cattle are plentiful, maybe not as affected by some of the dynamics right now, but if you can shed some light on that, I'd appreciate it.
James V. Lochner: Yes. You always got to remember, in the price of cattle, you have a lot of regional issues and you can have some small regions that are tight relative to the slaughter demand. And as the tendency to -- with mandatory price reporting on the transparency of price reporting, everybody in government reports exactly what the transactions. So there's a tendency for the short region to trend higher prices and then kind of move the overall up. And then over time, what happens is those regions correct in demand and the prices come back. And we always got to remember, as a reminder, as I reminded the beef group earlier in the week, we were coming into Thanksgiving and as long I've been in the industry, it's hard to move beef prices up going into Thanksgiving. And usually, you'll have a little bit of a boost afterwards. And so our assessment was that the volumes needed to moderate. We're pushing too much meat on a weak demand period, and that's exactly what's happened. In the last couple of weeks, you've seen a correction in the USDA reported processing numbers. And that's why, in my comments, I really made it that margin compression happens and then the market does its job over time, and they expand. If they get too big, they contract. And that's generally the market dynamics that happens in spread businesses. We put all our focus, always, on really trying to make sure that we're managing the mix, trying to drive the highest prices relative to the reported numbers. Combinations of premium programs, combinations of formula sales, combinations of export, and really focus our attention to the detail. And then we're in the market. And again, I know that, that doesn't give you a real complete answer, but the market usually the market makes the types of moves. Has for a long period of time. And we're pushing more meat than the market could absorb and that's what caused that margin compression.
Operator: Next question comes from Heather Jones, BB&T Capital Markets.
Heather L. Jones - BB&T Capital Markets, Research Division: My question is related to your Beef and Pork businesses. They were strong for the quarter, and I think I'm thinking about this correctly. Typically, over the past 2 years, your margins in both businesses on a per head basis have been well in excess of the industry. And then generally improves in line with the industry on a sequential basis, if not, actually widening your out-performance. And so this quarter, I'm looking at where -- what you did in Q3 versus what you did in Q4, and there's actually a deterioration sequentially, which is, while the industry margins show improvement. So I'm just trying to get a sense of what happened during the quarter, that would have driven that, and how should we be thinking about that going into 2012 as far as your performance relative to the industry.
James V. Lochner: I'm trying to put my finger on exactly a factor, but generally speaking, we did not -- when we look at how we index our revenue components and how index our cattle cost components, I didn't see anything that really jumped out of the ordinary, that said we missed it. A lot of times, particularly in cattle, you can run into regional differences between north and south, and then the grading differences that can happen, that really can sometimes really drive the interpretation of those results. And if you really understand the numbers, you really are indexing yourself. But we did see the margin compression and didn't really see anything that bothered us relative to our indexes. In fact, if anything, we looked at our indexes, actually improving even though we saw the results come down quarter-over-quarter in beef. And then in pork, it would really be kind of the same scenario. We didn't really see the shift, and again, we're very pleased with our indexes related to how we benchmark our price realizations and our procurement. We didn't have a major shift in yields. We didn't have a major shift downward in labor efficiency. We didn't have a major shift in our market share and key categories. So we really didn't see it is what I'm trying to say.
Heather L. Jones - BB&T Capital Markets, Research Division: Okay. Because our data is showing that you all did to close to $90 a head in Q3 and $70 a head in Q4. Now as we go into Q1, as people have alluded to earlier, the industry has deteriorated pretty dramatically. When we're thinking about you guys, relative to your Q4, should your sequential deterioration be less than what we're seeing for the industry benchmarks?
James V. Lochner: Yes. I mean, we're nowhere near that major decline. We saw that compression again, the last -- starting about 4 weeks ago and then it's starting to rebound now, but we've not been anywhere near that negative. So we're holding on. In fact, every week thus far, our Beef segment has remained profitable.
Operator: Okay. Next question, Diane Geissler, CLSA.
Diane Geissler - Credit Agricole Securities (USA) Inc., Research Division: Did you give expectation on your range for pork in 2012?
James V. Lochner: No, we we've not. This is Jim. We have not changed it, so we did not alter it up or down for 2012.
Diane Geissler - Credit Agricole Securities (USA) Inc., Research Division: So what you're saying is you expect to be in your normalized range in terms of pork margins in 2012? Is that accurate?
James V. Lochner: Yes.
Diane Geissler - Credit Agricole Securities (USA) Inc., Research Division: Okay. And then on the Chicken business, what's the biggest driver there year-on-year? I mean it's got to be pricing. First of all, if I look at your total profits this year, fiscal '11, you do expect your profits in chicken in '12 to be higher than '11, correct?
James V. Lochner: Yes.
Diane Geissler - Credit Agricole Securities (USA) Inc., Research Division: Okay. And it's the biggest driver there, then pricing coming from just lower supply? Because your commentary on food service suggests that the channel remains pretty weak. Although you do expect some product development, so is it really pricing driven? I mean, it has to be because the grain side is worse, right?
Donnie Smith: No. Diane, let me try give you a little help. You're right on the environment, we do not view demand to be any stronger in 2012 than it was in '11. So let's call it demand flat. By the way, probably both at food service and retail. I believe, going into the year, depending on how much pricing gets passed on or absorbed into the marketplace, might want to keep an eye on retail demand. But so let's just call it, going into the year, demand flat. Now our business, yes, we do think that we will improve pricing. But that is not strictly where all of our benefit is going to be coming from. We'll also make mix improvements in our business. In other words, we will sell more in a value-added mix. We think that we will continue to see some live performance improvements in livability, feed conversion, those kinds of things. And remember, over the last couple of years, we've spent pretty strong CapEx against our business, and a good portion of that has been against our poultry business. And we've mentioned, in the past, that those CapEx expenditures were in what we would call, good return but low risk type projects. And by low risk, what we mean is, there's low risk that the return we think we'll get we'll actually get. That's proven to be the case. So the money that we're spending on our business, particularly on the processing site in chicken, is paying benefits in lower conversion costs, we continued to see operational efficiencies, and improvements in that side of our business. So I think what you'll see is an improvement, not only on the live side, but also in plant conversion side and we do intend to get some improvement in pricing as well. But it won't all come from pricing. I think to clarify, when you asked me on the pork earlier, I said we did not come out and change our range. However, we do expect our Pork business to be in and above the range. And we don't really see a material change going into 2012. Just to clarify that answer.
Diane Geissler - Credit Agricole Securities (USA) Inc., Research Division: Okay. And then just one follow-up on the chicken. Where is your total production, currently, year-on-year in terms of head and tonnage? How much are you down?
Donnie Smith: Okay. We said, I think on our call, we were talking about being down somewhere in the 6% versus the Q3 run rate versus a year ago.
Diane Geissler - Credit Agricole Securities (USA) Inc., Research Division: 6%?
Donnie Smith: Yes, about 6%. Our cut has actually been on a little bit more than that, and that's in terms of pounds produced, okay? So as we tried to talk about on the last call, I've tried to -- I want a lot of clarity around what we're talking about because we've seen egg sets and chicks placed out roughly 7% or 8%. But until recently, we've not seen much significant movement in live weights. And so, I think last week's slaughter pounds were at 969 million -- excuse me, 869 million, good catch. And so when we talk to you, we'll be focused on total pounds produced. So we'll be at an excess of 6%.
Operator: Next question comes from Farha Aslam from Stephens.
Farha Aslam - Stephens Inc., Research Division: First, on chicken, when do you anticipate hitting your normalized range this year in chicken profitability?
Donnie Smith: Our best chance obviously is going to be in the back half. I feel comfortable that we will see progressive improvement throughout the year. Still a bit early to be calling any specific quarter in which we think we would be back into the normalized range, but our best shot is going to be in the back half.
Farha Aslam - Stephens Inc., Research Division: Okay, that's fair. And then a follow-up on beef. If you could give us color on the first quarter profits, do you expect them to be in the normalized range, half of normal? Just kind of give us some more color on where you think beef profitability is in the first quarter and how you expect that to progress as the year goes forward.
James V. Lochner: Well, let me say that they won't be as strong as they were in Q4 and we're just half way, not even quite halfway through the quarter, and we're starting to see the margin picture change relative to last several weeks. So I'm going to leave it at that and not get that quantified. But I feel pretty strong that we'll come through this first quarter very well and the market will correct. And then we're going to start to see a fair amount of cattle availability as we come into January or February, which generally works on our favor relative to managing the spread.
Operator: Next question comes from Akshay Jagdale with KeyBanc Capital Markets.
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: Just a question on chicken again. So did I hear you correctly? Your pounds are going to be down 6% for '12, was that right?
Donnie Smith: No. What I said was, right now, we're running down a little bit in excess of 6%. So here's the way to frame that up. We always take a detailed forward look of demand. We spend a lot of energy looking at forward demand. And so our production plans, we think right now, our team has done a great job getting us exactly where we need to be in light of the demand we see through the first, say 4 to 6 months of calendar 2012. As we move into Q1, we will be looking at the forward demand for the rest of our fiscal year and we will make any, if any, production decisions then. But for us, it's always about balancing our supply and demand to meet our customers' expectations of our business. And currently, the color I can add is we're down better than 6% in the current quarter versus where we were.
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: Okay. And then your expectation for 4% decline in production. Can you give us a little color on that in terms of where that's coming from? Is that truly yours? Do you expect that to happen regardless of what happens with demand? And if production is down 4%, which seems more than what other industry experts are saying, I would think. If that does happen, do you think the industry would be profitable or will get to normalize profitability this year?
Donnie Smith: I'm going to start that and then Jim may want to jump in and add a little bit of color. First of all, when we talk about the 4% number, that is what we project the industry to be. Obviously, we're going to be a part of that. I don't really want to try to project what the rest of the industry is going to do or what their profitability is going to be because I don't know their cost structure, I don't know how they price their product. So there's no chance I'm going to project what they're going to do. I can tell you what we're going to do and I'll let Jim add some color. We're going to balance our supply with what our view of demand is. If anything, we're going to be a little bit on the short side of that, which gives us opportunity, at times, to buy parts that we need without necessarily having other parts that may or may not be the best value in the marketplace. So that's going to be our strategy going forward, and our team is very disciplined in looking at that forward demand and then matching our supply to get there. And when we get off-base a little bit, we quickly react because it's important to us to keep that supply and demand balance.
James V. Lochner: Yes. I think, you always got to -- when we give a number, it's always against our fiscal period. So I looked at a composite of different independent estimates and this current Q1, I know of Dec of '11, which is our Q1 is the strongest decline. So a number of them on average are around 5.5%, and then as you move into calendar '12, that's where you probably say it's a little less because you'll start to see it start to change with Jan, Feb, March, in the high 3s, and then April, May, June, 3. So you end up in a scenario where you sink that all back up with a variety of independent forecasters, on average of 4% against our fiscal year. With the strong end being right now, and I'd know, this period.
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: Right, and then just a follow-up there on price realization for you guys, especially last 3 quarters, based on my numbers, has been exceptional which is why it seems like you're doing much better than the industry. So you're starting off, pricewise, price per pound, much better than the industry in general. How do you feel about price realization in '12? I mean, give us some numbers here, if you can. I mean can you put some numbers around the price realization efficiency numbers that you've talked about in the past? I mean, how much are you expecting to benefit from just pure pricing, yield efficiencies, cost programs, et cetera? Can you give us some numbers so we can put that into context with the increase in grain cost and think about where profitability could end up?
Donnie Smith: I can't talk about the principles behind what we do. Obviously, it's important to us to be a cost leader in our industry, in every segment that we participate. We have a very diverse portfolio of products. And so it's pretty hard to -- without going into a tremendous amount of detail by bird class, exactly what we expect to do and I don't think that's probably in our best interest on the call. So what we can say is this, we continue to move our mix up the value chain. We always want to try to add value to our customers business and to try to add value to our product mix. We will continue to do that. We believe that we lead the industry in quality, service, and certainly innovative capabilities and we believe that we bring a different value proposition to our customers. And then we get paid for that. So I think you'll continue to see that as part of the spread. In each of the commodity type businesses that we're in, we've we controlled our production to the point that we don't have a lot of excess sales in the marketplace that are a drag on our pricing structure. So that's a huge advantage to being balance in terms of our supply and demand. When you get into those situations where you're supply outstrips your demand, that's when you have excess product that you have to sell in commodity markets which hurts your pricing structure. So if you start putting all those pieces together, I think you see, and obviously you have, the difference between Tyson and others. And we continue to remain very disciplined in our go-to-market strategy and how we bring value to our customers in each one of the segments.
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: So what would it take for you guys to -- if it was up to you, right? So what would it take for you to come out and say you're going to be in the normalized range and margins for chicken? What would have to change, today, for you to feel more confident about being within a normalized range in a reasonably short term? Like what would you have to see change for you to feel more comfortable about that?
Donnie Smith: I'd say move the calendar forward about 3 months or so and let us get it a little deeper into the fiscal year and we'll be a lot more confident about what we can say about when certain events will happen. In terms of our business model, I don't think there's anything that needs to change. And I think, certainly, our business team is focused on getting back to normalized margins as absolutely as fast as they can. And I think they're doing everything they can do to get there as quick as they can, and we'll get there.
James V. Lochner: But I think if you just look, again, at the market fundamentals versus the supply pull back, you start to see some supportive pricing. And overall, again, the big picture says domestic availability of all proteins is declining, partly from export and production. That's generally supportive of pricing. And you have to factor in the economy and factor that. How fast can it go, that's anybody's prediction.
Operator: The next question, Christina McGlone, Deutsche Bank.
Christina McGlone - Deutsche Bank AG, Research Division: I guess, Jim, I just wanted to dig into beef a little more. Can you explain what we're seeing in terms of the north-south differential and how does that impact Tyson. And if you're paying more for your northern cattle, are you also getting more for the beef from that cattle? And then something you said worried me a little when you said the fact that you were getting a lot of cattle and feedlots and then usually they come out at lighter weights and when they're marketed, there's more volatility and you might not match demand. How do we think about that kind of idea when we're modeling?
James V. Lochner: Well, that's exactly why I put that in because your models will get a little bit different simply because you don't have some of the normal placement patterns that have occurred in the past, which is a clear observation as the southern plains didn't have good forage so the cattle left. We pasture and pasture and went into feedlots and backgrounding. But the North-South spread is always a factor that always messes up your models because you don't get that granular in the way you forecast beef margins within regions. Our job, basically, we're nicely dispersed between the North and the South. Some of our competition has plants that are more concentrated in the South or some in the north. We have a good mix of the north-south plants, close to the feedlots. And our job is always to try to maximize the revenue and try to manage that spread. But it does make it difficult for you to model in that regard. So I don't expect to have any major shortages in any of the regions that we have plants because I think the cattle supply, when they come out, will be fine. And I know that cattle feeders will try to really balance that placement up and actually try to hit the same type of end-put weights that they have historically and try to manage to hit the typical seasonal demand patterns. It makes it more challenging when calves go in the feedlots versus yearlings. So it's a comment just basically driven to tip you off, I guess, that the model sometimes will change around because we've had something very unusual with the drought in the southern plains.
Christina McGlone - Deutsche Bank AG, Research Division: Okay. And I guess when you think about '12 and you talked about margins within normalized for beef. But as we close out calendar '12, so calendar not fiscal, are we in a very tight situation where we're going to see overcapacity in beef processing? And then maybe also, if you could speak to the fact that the WTO has said that COOL is kind of a violation of agreements. Does that help? Do you think there'll be any changes on the origin of labeling front?
James V. Lochner: Let me address the end of calendar '12. Again, that's why I went through and pointed out the fact that even though some people will say the beef cow process or slaughter is up 4%, when you put it in to real perspective against 31.4 million beef cows and 9.2 million dairy cows, that accelerated decline is not really appreciably accelerated and there were people who were thinking that the drought, again, in the southern plains had really accelerated the liquidation of the beef cowherd and when I really went back and analyzed those numbers, it's up, but not as much and it's not as catastrophic as one would think. The other key component is, feeder cattle imports were 180,000. That easily offset a good number of the decline that we saw in the beef cow herd throughout the last couple of years. Now as that relates to country of origin labeling, if that gets resolved and everything went back to normal, what you'll actually see probably is the potential for more imported feeder cattle out of both Canada and Mexico. And that won't impact, again, calendar '12 as much as it will impact, potentially, '13. But the reason I put all those numbers in my prepared remarks is to really put it in to context. Even though we've seen some slight increase in liquidation, it's not what I'd call a major increase above and beyond what others have been forecasting into that 1% line. So I'm not pessimistic that we're going to have a problem, having extreme overcapacity in the beef processing industry. And I always got to remind everybody that we did take about 2 million head of slaughter capacity out several years ago and that balance against where our plants located is in pretty good balance.
Operator: Okay. Next question from Robert Moskow, Credit Suisse.
William Sawyer - Crédit Suisse AG, Research Division: This is Will sort of in for Rob. I wanted to talk a little bit about your international operations. You're investing your CapEx there, adding a second shift in Brazil, you bought out your partner in China. What is the margin situation in both those areas for you? And what is your outlook for demand?
Donnie Smith: Both of those businesses are pretty young and so the margin structure is on the light side of what we will produce in the future. As we look at demand, we feel very good about demand in both countries. Let's talk about Brazil here quickly. We have over the last year or so kind of decided, at least for the foreseeable future, what our mix will be between international and domestic volume. And we've added enough capabilities to be able to provide the diversity within our product portfolio offering to be able to capitalize on some growth, both domestically and internationally. So we really feel good about that business. All we need is time. We got a great team down there, they've doing a great job. So we feel very confident that every pound that we add, when we second shift. We've got grower base coming along behind us -- or actually in front of us, to be able to produce that. And so we feel very confident we'll be able to move that at the percentage that we want to both in the domestic and the international markets. So quickly shifting to China, a great opportunity there. We've got a great customer base in China. We're building a very solid team to execute not only our operating but also our selling strategies there. We're moving toward a company-owned, company-controlled live production model. We have a few company farms, now, that the birds that we have seen produced in those company farms are outstanding. We love our cost position there and we feel very good about our model going forward. It's a bit more capital intensive, but the efficiencies that we're seeing are making that the way to go. And it helps in terms of speed, too, a little bit. Around getting our footprint as large as we can, as fast as we can. When we get a build-out and what we currently have available to us, our footprint will be about 3.5, 3 million head a week, that'll be in 2014. And I would tell you, by the time we get there, we would expect to have normalized returns in that business. So we feel very good about our opportunities internationally.
William Sawyer - Crédit Suisse AG, Research Division: Okay. And then Donnie, can you talk a little bit about what the customer mix looks like in China for you guys? I really figured your plan is...
Donnie Smith: Simply put, both food service, QSR, and a retail base. So you need a very fairly broad portfolio to be able to spread your product mix out appropriately. And so we feel really good about our customer mix. I really don't want to get into detailed customer names, but just suffice it to say, food service, QSRs, a few other food service customers, and a good mix of retail customers.
Operator: Next question, Christine McCracken, Cleveland Research.
Christine McCracken - Cleveland Research Company: Jim, real quickly. You had suggested that you aren't seeing any signs of expansion, I think. I'm just curious with cow calf returns where they are today, do you expect to see that? Especially in the North where this guy should have the capacity to do so?
James V. Lochner: Yes, I would -- I went back and I looked up the heifer percentage of the fed steer and heifer kill, slaughter numbers. And it's been running right at this 37.4%, 37.2%, 37.5% about the last 4 years. So we'll be really watching that carefully because I would expect, with the returns, that outside of kind of the drought affected regions, that there would be expansion. and I think that's also why you didn't see the beef cow liquidation when you looked at -- the southern plains it would have been fairly expansive for that region. But the other regions had plenty of grass and all the profit signals probably offset that number to a great degree. But that's the key number we're watching. It's just the percentage of heifers and the total kill, to see if it drops into the low 30% and will start to see that expansion. We haven't really seen any meaningful expansion for about 4 to 5 years actually. And '07 would have been kind of that timeframe, maybe the one we saw a little bit of moderate expansion.
Christine McCracken - Cleveland Research Company: Just a follow-up then. On the choice select spread being so wide now, I'd assume that the incentive there is to produce more choice cattle. I'm curious if you're changing your grid at all, to incentivize producers. Are you seeing any move toward that and what that might mean for availability as we head into the next year?
James V. Lochner: Our grid is also reflective of what the current choice select spread and premium programs, et cetera, which is -- the term used in the industry is usually the cleanup costs reflects that component. And the choice or select spread did widen here, which is a lot of people thought might have been a decrease in grading but when, again, you look at the peers statistics, the percentage choice cattle hadn't really materially changed year-over-year with the choice select spread a year ago was much lower. So what we're probably seeing here is, perhaps that food service, fine dining, and steakhouse demand on consumption might be up. We might be seeing a combination of select demand for metals being soft because when you look at where the choice select spread differential is it's not unusual that it's in the middle meats, but we've seen really widened price spreads between particularly PISMOs, rib eyes, and strips, and the choice of select offering which suggest that we get food service consumption increasing slightly. But we have not really seen these types of spreads for a number of years. So the market will probably do its job again, and overtime, make that correction retailers or some other end users shifting to the value side on the select and they're offering. So the answer to your question, our grids always adjusts all constantly to what that choice select spread is doing.
Operator: Next question, Tim Ramey, D.A. Davidson.
Timothy S. Ramey - D.A. Davidson & Co., Research Division: Donnie, wondering if your investment in China looks like it might have any kind of ancillary benefits in terms of greater ability to export to U.S. production there.
Donnie Smith: Tim, I'm going to say probably not. Today, if you combine the antidumping duty and the countervailing duty that exists between the U.S. and exports of chicken into China, it's like 63%. And even, hey, if we started a WTO action today, it would, I'd tell you, take 2, 3 years to change that. So I really don't see that affecting much in terms of us being able to -- as a matter of fact, you might go the other way. So if we're not going to be able to ship it from the U.S. into China, let's just go over to China and grow it there.
James V. Lochner: We're certainly not banking on that. Our whole focus is running a real competitive Chinese production model.
Timothy S. Ramey - D.A. Davidson & Co., Research Division: Right. And just listening to your comments about July, and weaker Fourth of July and keeping inventories lean. It sounds like you might have gotten crossways on inventories and we're carrying too much into the Fourth of July holiday. Is that a fair interpretation of...
Donnie Smith: It was. Hey, this may be way more detailed and I know we're going a little long, but let me try to add a little color. So let's go back to just before Easter. When we were in the Lenten season, demand was really, really, really strong. And so if you look at chicken, by the time you start setting more eggs, you get them through the hatchery, you get them into the field growing out, and then produce them, and have them ready in inventory, depending on the type of mix you got, you've really got like 12 weeks’ worth of production that you've made in that decision. And so if you go to, say mid-March, you got mid-April, mid-May, mid-June. And so based on the signal we got in mid-March, we made production decisions that had a lot of meat coming at us just before the Fourth of July. If you'll remember, Memorial Day was less than impressive, and I'm telling you, Fourth of July was just nothing to write home about. And so once we saw that Fourth of July was pretty disappointing, man, we through the brakes on and we started backing up. And hey, unfortunately, commodity prices, you got a high feed component of your live cost. But when you're backing out of production, you're absorbing a lot of cost early. And so that just made July just a really ugly month, but we did pull back hard on inventory. Our inventory position, through the quarter, got cleared up, too. I tell you, when we ended the fiscal year, hey, our inventory position is what I like to call the manageable minimum. And so we are doing a great job servicing our customer, but we're not carrying a lot of excess inventory to be able to do that, it's putting a lot of pressure on our logistics resources, it putting a lot of pressure on our plant resources, but they have stepped up to the challenge and done a great job of taking care of our customer. So that's kind of the whole picture, Tim.
Timothy S. Ramey - D.A. Davidson & Co., Research Division: Got it. And just one more quick one. You've been talking about feed conversion. I know you experimented with betain versus choline chloride, I don't if you've moved back to going choline chloride. But is there anything you can tell us about kind of the feed ration that is specifically having an impact?
Donnie Smith: Nope. Listen, that's all really proprietary stuff and there's 0 chance you're going to get any details, honestly, on how we're feeding our chicken. I appreciate the offer, it just ain't happening.
Operator: The next question from Ken Zaslow, BMO Capital Markets.
Kenneth B. Zaslow - BMO Capital Markets U.S.: Just 2 bigger picture questions. For the year, Donnie, you've always been saying roughly around $2. It sounds like you're actually more optimistic in terms of saying in excess of $2. Can you talk about what the change of language was about?
Donnie Smith: Yes. Well, listen, we're very optimistic about our business. Over the last couple of years, we've done a lot to change our mix, we've done a ton in our operating efficiency. By the way, let me mention this. This past year, we were talking about $200 million in operating efficiencies that we would garner, and we did. And still view that going into 2012, we have another $125 million or so in operating efficiencies that we believe that we will achieve in our poultry business. And so when you put all that together with the kind of the last 2 years we've had, I'm very optimistic about our future. Now, hey, it's still early for us to be add any more detail than that. But...
Kenneth Goldman - JP Morgan Chase & Co, Research Division: But what was the change? I mean you've been saying around $2 and your language changed to in excess of $2. So I'm assuming something -- was it just internal improvements or is it marketing conditions that made you get a little bit more positive.
Donnie Smith: It's all of it. Our Beef and Pork businesses are performing very, very well. Our Prepared Foods business has weathered the storm, really, for the amount of pricing that we were able to achieve to cover the raw material inputs, our Prepared Foods businesses has done very well. We've got a bead on a part of that business, it's probably underperformed, and we've got a solid action plan to improve that part of the business. And then when you look at chicken, we're seeing the benefit of some of the things that we've been doing in the past that just have us operating that business well. If you look at industry fundamentals, we've got a much better environment we feel that we're operating into and feel pretty solid about our chances.
Kenneth Goldman - JP Morgan Chase & Co, Research Division: Okay. So my second question, just a little bit longer-term. Look, for the last -- 2012 comes in near where you're talking about -- you'll have 3 years in a row in that $2 to $2-plus range. You're starting to spend aggressively again on CapEx. Is there an expectation that you guys could actually, in it 2013 and '14, start to develop a growth model where EPS can grow at a certain rate? And is it depending on market conditions, CapEx? Can you talk about the potential for you to actually grow earnings in 2013, which clearly would be somewhat contrary to the market expectations. But can you talk about that?
Donnie Smith: Yes. Hey, that is absolutely the plan. As we continue to improve our business, I think one of the things that we've proved in 2011 is that our multi-protein, multi-channel, multinational business model gives us a bit of distinction and a little bit of differentiation in the marketplace. And we intend to take all of the opportunities that, that model provides us and be able to capitalize on that. So we've got opportunities in front of us in value added poultry, we've got opportunities in front of us, in our Prepared's foods business. Some of it is broadening the product portfolio. But some of it is broadening the channels. We've got great opportunities in front of us in Brazil and in China. So yes, as I look forward, part of what we needed to do in '10 and '11 was to stabilize this business and get it turned around. And get some operational efficiencies in place so that we could use that as a really strong platform to launch off of into the future. And we do believe the growth opportunities in front of us are meaningful and particularly the earnings opportunities in front of us are meaningful.
Kenneth Goldman - JP Morgan Chase & Co, Research Division: So what would you say -- I mean, if I was to say, 2013. What would be the incremental contribution? Where would the incremental contributions come from in '13 relative to '12?
Donnie Smith: I can't. Way, way, way too early. Hey, I'm trying not to get too far ahead of you on explaining excess of $2 in 2012. I'm...
Kenneth Goldman - JP Morgan Chase & Co, Research Division: No, no. I'm not looking for an EPS number, but it is it in Brazil? You're going to spend $800 million this year, I think $600-something million in the last year in CapEx. Do start to assign a return on that, that we expect? Is it Brazil? Is it China? Is it improvement in fundamental? Like, what is it that gets you to growth? I'm not asking for the actual quantification. Have you kind of -- give us some sort of growth trajectory out besides 2012.
Donnie Smith: Absolutely. So we built a pretty good foundation for ourselves internationally. And we will continue, now, to add production in our international businesses about as fast as we can. Our international team has done a great job of getting these new start-ups underneath us, to the point to where we can now add incremental volume to those businesses and have it sold in the right place and improve our margins along the way. So we're at the point now to where when we add incremental volume, it adds incremental return. That's where we needed to get. If you look at the rest of our portfolio, adding value to the raw materials that we produce is a huge, huge platform for us to grow in. The 2 things that we have, that we can leverage, is raw materials and relationships, and we intend to leverage those into the future across the broad portfolio of our business, both in value-added poultry, in our Prepared Foods business, taking our Beef and Pork raw materials and adding value to those, moving those up the value stream, putting them into new channels, expanding our customer offerings. So I think what you're going to see is a very balanced approach to us growing our whole portfolio across the board as we move forward.
Operator: Next question, Jeff Farmer, Jefferies & Company.
Jeffrey D. Farmer - Jefferies & Company, Inc., Research Division: Recognizing the time, I'll just be brief with this one. Just a quick modeling question. Looks like your absolute G&A dollars actually fell in fiscal '11. As you look forward to FY '12, what's the expectation there?
Donnie Smith: Probably about flat. I'll be honest with you, I look at it more as a percent of net sales. And I think, we finished the year at around 2.8% of net sales, and we'll be in about that ballpark.
Jeffrey D. Farmer - Jefferies & Company, Inc., Research Division: Okay. And then just following up along the international discussion. Revenues pushing, well actually, it's more than 16% -- or international is more than 16% of your consolidated revenue right now. So can you provide any type of margin number on that revenue to date? And as you move forward, do you expect that margin to improve quickly? I realized there's a lot of start-up investments in Brazil and China, et cetera. But any color on the margin picture on that full bucket of international revenue in FY '11 and what you're looking for in FY '12 would be helpful.
Donnie Smith: I appreciate that. The only color that I can really add at this time is, at this point it's not, I would say, a significant portion of what you see. But certainly, over time, we expect it to improve incrementally as we grow the business, and it will become more and more significant to our results. So that's about all the clarity I can add right now.
Operator: Next question, Ryan Oksenhendler, Bank of America.
Ryan Oksenhendler - BofA Merrill Lynch, Research Division: Hey, I'm sorry if I missed this, I jumped on the call late. But did you give a number for what you think grain or feeding ingredients will be up year-over-year in fiscal '12?
Donnie Smith: I don't think we did. No.
Ryan Oksenhendler - BofA Merrill Lynch, Research Division: Can you?
Donnie Smith: No, I think, all I would be comfortable saying at this point, because we're pretty close to the market now, and which I feel very comfortable with. I would suspect that grain cost, in 2012, would be at or above what we saw in '11. And Ryan, the real emphasis of that is if you just go back to Q1, well our Q1, which would be calendar Q4 of last year. Corn futures, for example, we're in the $4, $4.25, $4.50, somewhere in that neighborhood and moving up through the quarter. And hey, we are at new crop and we're at $6 plus. So we're $1.50 or so starting the year higher than we were a year ago. So it just stands to reason that we're going to have incremental increases in our cost of corn, soybean meal, and other inputs, by the way, of going into next year. Which accents our need to get our pricing improvements in order to get paid for those higher raw materials.
Ryan Oksenhendler - BofA Merrill Lynch, Research Division: And then just quickly, I guess on the pricing side, you sounded a little skeptical about retail demand, I guess maybe depending on where pricing goes, it looks like for the Georgia Dock, we're rubbing up against $0.90 a pound here. Was I reading that right? At what point do you think demand starts to drop off at the retail level?
Donnie Smith: I can't really pick it based on a particular market price. But I can say this. We're holding unemployment around 9% or so. My GDP number for '12 is somewhere about 1.5% or so. So I'm not looking for a robust recovery in the economy. It just stands to reason that if more and more price gets passed along to the consumer, that there's an opportunity for them to back off. Now the good news is that we keep a very close eye on forward demand and our strategy is, if anything, to be a little short against that demand so that we don't get caught. Let's say, like we did in July with too much inventory or maybe not too much inventory, but excess of what we would have would have liked have at the time, and excess production. So we're going to keep this thing in check and we've got, I think, a very good eye on what our forward view of demand is. So let me just close up, if we can. Hey, I want to emphasize again how important I think our multi-protein, multi-channel, multinational business model is. When you combine that with our cost capital structure and, frankly, what I think is the best is the best team in the business, Tyson is uniquely differentiated from our competitors and I think we're poised to grow in 2012 and beyond. Tyson Foods is a protein company with the widest variety of products to sell and the most channels to the broadest base of customers here in the U.S. and around the world. Our diversification gives us options and opportunities. We intend to make the most of them. So thanks for your interest in our company and have a great day. Thank you.
Operator: Okay. Thank you. That does conclude the conference today. You may disconnect your phone lines at this time.